Operator: Good afternoon. And welcome to Paratek Pharmaceuticals, First Quarter 2022 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there'll be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Sarah Higgins, Vice President of Finance. Please go ahead.
Sarah Higgins: Good afternoon and welcome to Paratek's first quarter 2022 earnings and corporate update conference call. The press release with the company's financial results was issued earlier today, and we have also posted slides on our website to which we will refer on this call. Both can be found at www. paratekpharma.com. Participants on today's call are Evan Loh MD, Chief Executive Officer, Adam Woodrow, President and Chief Commercial Officer, and Randy Bryan, our Chief Development and Regulatory Officer. Michael Begum, Executive Chairman, and I will also be available for questions. Before I turn the call over to Evan, I would also like to point out that we will be making forward-looking statements which are based on our current expectations and beliefs. These statements are subject to certain risks and uncertainties and our actual results may differ materially. I encourage you to consult the risk factors discussed in our SEC filings for additional detail. Evan?
Evan Loh: Thank you Sarah. Good afternoon, and thank you all for joining our first quarter 2022 earnings and corporate update call. We believe that the strength of Paratek’s commercial business is driven by disciplined operational execution, combined with NUZYRA 's many clinically important product attributes. These include once-daily oral and IV formulations, proven clinical efficacy against resistant pathogen in two approved indications and a favorable safety and tolerability profile. As you can see on this next slide, our U.S. commercial launch performance over the first three years continues to differentiate NUZYRA as one of the most successful IV oral antibiotics launched in the last decade. Having both formulations enables NUZYRA to have clinical utility in every setting of care. Strong demand, coupled with disciplined execution resulted in a significant year-over-year, first quarter growth in NUZYRA’s core commercial business. We believe this growth would have been even stronger were it not for the Omicron wave in January and February. As the surge receded, NUZYRA demand accelerated through the balance of the first quarter and into the second quarter. This momentum is being driven by improved access to physicians in both the hospital and community settings, a resurgence of elective surgeries and satisfaction of annual insurance deductible resets. On the left panel of this next slide, you can see that net sales from our core NUZYRA commercial business increased from $7 million in the first quarter of 2020 to $13 million in the first quarter of 2021 and landed at nearly $20 million this past quarter, which represents a 51% growth over the first quarter of 2021. Importantly, on the right panel, NUZYRA’s trailing 12-month core commercial revenue performance demonstrates a significant upward trajectory, suggesting strong continued growth to the balance of this year. Based on our performance to date, we are reiterating our full year guidance. We continue to prioritize our three principal pathways to NUZYRA revenue generation. First, NUZYRA’s core commercial business. This continues to be the main driver of our current revenue growth performance. Adam will provide more details in his prepared remarks. Second, Non-Tuberculous Mycobacteria disease. NTM represents a promising future growth opportunity in the orphan disease space. More specifically, NTM of the M ABSSSI subtype is a rare disease with currently no FDA approved therapies. In the U.S. alone Paratek estimates at NTM abscessus represents a potential $1 billion addressable market opportunity. Third, U.S. government opportunities. We believe that NUZYRA’s broad utility against antimicrobial resistance, wound infections, and bioterrorism pathogens should make it important, lifesaving component of the U.S. government strategy and tactics being formulated to address today's emerging threats. These opportunities with NUZYRA include performance under our BARDA BioShield contract, other stockpiling initiatives for pandemic preparedness and contracting within the Department of Defense. Now, I would like to review Paratek’s first quarter 2022 financial highlights. Total revenue was $24.9 million for the first quarter of 2022, a 51% increase from $16.4 million for the same period in the prior year. Total revenue for the first quarter of 2022 was comprised of the following NUZYRA generated net U.S. sales of $19.9 million, a 51% increase from $13.2 million for the same period in the prior year. Government contract service and grant revenue earned from cost reimbursement under the BARDA contract was $4.3 million, a 65% increase from $2.6 million for the same period in the prior year. Collaboration and royalty revenue of $0.7 million, which primarily represents royalty revenues earned on sales of SEYSARA in the United States and the initiation of sales of NUZYRA in China. Research & Development expenses were $7.5 million for the first quarter of 2022 compared to $5.5 million for the same period in the prior year. The increase in R&D expenses was primarily due to costs for activities reimbursed under the BARDA contract and costs incurred for the Phase 2b NTM study. Selling, general and administrative expenses were $27.6 million for the first quarter of 2022 compared to $22.4 million for the same period in the prior year. The increase in SG&A expenses was primarily the result of compensation expense and costs incurred for the NUZYRA community expansion. Paratek reported a net loss of $17.9 million or $0.35 per share, an $18.3 million or $0.39 per share for the first quarters of 2022 and 2021 respectively In this last slide for me, we note that Paratek ended the quarter with $79.1 million in cash, cash equivalents and marketable securities. I would now like to turn the call over to Adam. Adam?
Adam Woodrow: Thanks, Evan. Commercialization of NUZYRA in both the hospital and community settings continues to progress well, despite an unexpected spike in COVID cases and the lack of a typical flu season. As Evan noted earlier, strong demand and consistent execution has resulted in impressive growth in NUZYRA's core commercial business. Net sales for our core business increased 51% this quarter, compared to the same quarter in the prior year, from $13.2 million in Q1 21 to $19.9 million in Q1‘22. More importantly, with gross demand increasing by 82% during this period, we know that net revenue is being driven by demand, and this leading indicator is predicting future growth. As the Omicron wave receded, we experienced accelerated product demand through the end of the first quarter that has continued into the second quarter. This growing momentum is being driven by improved access to physicians in the hospital and community settings, a resurgence of elective surgeries and satisfaction of annual insurance deductible resets. Our focus in the hospitals continues to be on IDs, ID Doctors who care for patients with known or suspected resistant pathogens with comorbidities. We know that the oral formulation of NUZYRA enabling early discharge is valued by both the patients and physicians. In addition to the cost savings realized by the health care system, a shortened length of stay also reduces the risk for patients to pick up a hospital acquired infection with yet another resistant bacterial pathogen. Based on our internal estimates, we believe that there will be approximately 300,000 patients with skin and pneumonia infections in our hospital addressable market by 2028. We also believe a 6% to 12% market share is achievable in this same timeframe. Importantly, these patient numbers represent on label usage in the hospital only. Looking ahead, we're seeing improved access to hospitals, allowing increased face-to-face discussions between physicians and our sales representatives. Importantly, there's also been a return to more frequent and regularly scheduled formulary and stewardship committee reviews, which creates more opportunity for NUZYRA adoption in the hospital. For these reasons, we anticipate momentum will grow within this segment throughout the remainder of 2022 and beyond. Now, turning to the community. Here, our promotional efforts are directed towards podiatrists, primary care doctors and a select group of dermatologists. Our focus is on the patients that have a known or suspected drug resistant pathogen and either organ dysfunction or antibiotic allergy. Current generic oral options have challenges in serving this patient population. We estimate that there will be approximately 750,000 skin and pneumonia patients who fit our target patient profile in the community by 2028. We believe a 9% to 14% market share is achievable in the same timeframe. As mentioned in our prior call the community expansion efforts are now well underway. We estimate that by the middle of the year, we will have approximately 65 to 70 community care representatives in the field. By the end of the year, we expect there to be closer to 80 to 85 in total. To enter in to enhance our community sales force productivity, our market access team has actively worked to increase the number of Medicare lives covered with limited to no restrictions. For example, NUZYRA was recently added to three major Medicare formularies without restrictions, which now increases the number of Medicare beneficiaries covered to nearly 60% nationwide. As a result, we believe NUZYRA is now one of the most accessible branded oral antibiotics across the commercially insured and Medicare patient populations. We are confident that NUZYRA’s broad market access will continue to be a key driver to our commercial success moving forward, ensuring both patients and clinicians have appropriate access to NUZYRA across all settings of care. You can see on slide 18, we expect that there will be consistent and continued year-over-year growth of prescription days of therapists generated by both the hospital and community physicians. We expect that oral prescription days of therapy generated by the community by sales force will surpass that of the hospital sales force by 2023. The proportion of prescription days of therapy from the community continues to grow and is now approximately 30%. Our focus remains on gaining new trial lists and repeat usage by building awareness and establishing trust and credibility with physicians who are saving lives and treating serious community acquired infections each and every day. With that, I'd now like to turn the call over to Randy.
Randy Brenner: Thanks, Adam. In support of the community expansion just described by Adam, the medical affairs team is also expanding its scientific reach through several mechanisms. First, in addition to our hospital focused field medical team, we've begun hiring a targeted group of community based medical science liaisons or MSLs to engage in scientific exchange with community health care providers. This expansion comes following a successful pilot with this program. These MSLs focused discussions on resistance patterns, challenges with today's skin and pneumonia patients, as well as current treatment options. The new MSLs will be geographically placed to complement the planned commercial community expansion. Second, we are expanding education and scientific exchange to reach community practices through community focused scientific meetings, journals and medical education. With regards to the BARDA program, together with BARDA, we continue to execute on all activities under the contract. We are completing the preparatory work required and planning for the execution of two pilot animal efficacy studies. The first of which is in rabbits with top line data from this study expected in the fourth quarter of 2022. BARDA has received a positive top line data from this study will trigger the purchase of our second NUZYRA procurement under the amended BARDA contract, which is valued at $38 million. The U.S. on shoring program continues to progress with some important milestones in 2022. Mainly, we continue to anticipate completion of the U.S. based production and commercial availability of NUZYRA tablets in the second half of this year. The NUZYRA vials and the Omadacycline API are scheduled to be available from our U.S. supply in 2023. Amid rising international turmoil and a global pandemic, a U.S. based supply chain for a commercially available antibiotic is particularly important. With regard to lifecycle initiatives for NUZYRA we continue to advance the development program for the orphan indication of NTM pulmonary disease caused by Mycobacterium abscessus, including non-clinical and clinical studies. Enrollment in the U.S. only Phase 2b randomized study of pulmonary NTM infections caused by M abscessus began in 2021 and is progressing to plan. As this is a rare disease enrollment is estimated to take approximately two years. As a reminder, this is the first placebo controlled study in this chronic and rare disease. As such, it will provide a much needed clinical data set of efficacy and safety in M abscessus patients. This study, along with the non-clinical studies will be the foundation for our next discussions with regulatory authorities and potential label expansion. In Q1, the results of an investigator initiated study demonstrating the potent activity of NUZYRA in a hollow fiber system model of Mycobacterium Avium Complex or MAC pulmonary infection was published in the Journal of Antimicrobial Chemotherapy. In the study, desired demonstrated considerable efficacy and potency against Mycobacterium Avium. The highest exposure of Omadacycline studied demonstrated comparable potency as that seen with a three drug standard-of-care regimen and Omadacycline was bactericidal in this study. Based on these encouraging findings, Paratek plans to initiate additional in vivo studies to evaluate the activity of Omadacycline against MAC. There are an estimated 100,000 cases of NTM pulmonary disease caused by MAC in the U.S., which is 10 times more prevalent than Mycobacterium abscessus. FDA has granted NUZYRA orphan drug designation for the treatment of NTM for all subspecies of NTM, including both Mycobacterium abscessus and MAC. This designation from FDA further reinforces and validates the important unmet need in this underserved patient population. We remain excited about the on-going data generation efforts around NTM and will provide further updates of important data being presented at future scientific meetings in the second quarter call later this year. At this point, we would like to open the line for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Suji Jeong with Jefferies. Please go ahead.
Suji Jeong: Hi, good afternoon, and thanks for taking my question. I have a couple questions about your comment about the growth and demand from the first quarter going into second quarter. Could you share a little bit more details about demand increasing you saw such as whether the patients are coming from hospitals or community setting or whether they are pneumonia or seeing patients? And then I have follow up questions. Thanks.
Adam Woodrow: Thanks, Suji it’s Adam. The growth has actually being driven through the primary care side of the business. And we're seeing quite clearly an improvement in the number of prescriptions that are coming, or an increase in the number of prescriptions that are being generated by that primary care side of the business. And the sort of differential in that demand is actually a function of the fact that we've got that primary care field force that's starting to drive increased demand, specifically in the community setting.
Suji Jeong: Do you see mostly coming from the skin or pneumonia patients?
Adam Woodrow: It's mainly in skin. The pneumonia season was actually almost non-existent. This year, we were expecting to see some improvement in in our pneumonia indication, as we went into the winter, it started and then very, very quickly dissipated. And so as a consequence, we very quickly pivoted our field force away from the pneumonia indication back into skin. And that's where we're seeing well over 80% of the prescriptions so far.
Suji Jeong: Thank you. Expanding on that, as you guys are expanding the community sales force, and we are approaching the warmer months. How would you see the sales growth trajectory like clearly remainder of the year?
Adam Woodrow: So the, we're starting to now see some quite clear seasonality in our business, with Q1 being a little bit softer than the remaining quarters and that’s because of the insurance resets. And in this, this instance, we also got hit with an Omicron wave. And then we see an acceleration as we go through the year with our highest growth in the past three years, coming, actually the third quarter, and we anticipate seeing exactly the same phenomenon this year.
Suji Jeong: That’s helpful. Thank you.
Adam Woodrow: Thank you, Suji.
Operator: Our next question comes from Bert Hazlett with BTIG. Please go ahead.
Robert Hazlett: Yes, thank you for taking the question. And thank you also for the additional comments you just made that's very, very helpful. With regard to what with regard to kind of spending that's married to that, and apologies for the granularity here or diving into it. But how should we think about the trajectory for R&D spend throughout the year and SG&A spend throughout the year kind of given the elements you've just described? And then I have a follow on as well.
Adam Woodrow: Hey Bert, it’s Adam. Thank you for the call. One of the important facets of the trends that we have seen through the balance of the first quarter with momentum that we see moving into this quarter is that it continues to buttress our competence in our commercial model and the success of the new cyber product. As we had said on our last call, we continued to be mindful of our capital allocation and our current estimates for 2022 R&D and SG&A expense as I said. We've reiterated guidance for both the OpEx as well as on the revenue side, and we don't see any changes from what we had guided previously.
Robert Hazlett: So and just to be if there's, it's possible to get a little bit more direction throughout the year, is there? I mean, should it be growth in both steady throughout the year? Or can you give any, any indication with regard to that at all?
Adam Woodrow: And we, we have, we have expenditures coming, that you're well aware of that include, primarily from, R&D from the BARDA side, and we do have investments that we talked about, specifically on the commercial expansion, and that commercial expansion will happen primarily in the second half of this year.
Robert Hazlett: Okay, great. That's helpful. Thank you, just to two other lines of questions, and mostly on the kind of the additional pipeline. One is that with regard to the you mentioned I think additional work, in addition, a non-clinical work with regard to NTM M abscessus. Could you talk a little bit about what additional work non-clinically is required for that program? And then I'll just ask the last program -- the last question. You also mentioned, Evan, once again, in your opening remarks, potential for other stockpiling and other DoD purchases. I just love for you to elaborate if there are things percolating there at all that we should be thinking about. Thanks.
Randy Brenner: Hey, Bert, its Randy. So I'll take the first question around non clinical work for NTM. So we are, these are not so much required activities, as I think we've generally on the microbiology side, which is where we're focusing most of this work that's completed all the required studies that we did to conduct. What we're always looking to do is continue to broaden our knowledge base around NTM. So much of the on the obsessive side, much of the work we've done with some of our accommodation work has been in vitro sort of, checkerboard type studies, that we're looking to expand that into some in vivo models to see where some of the synergy looks like that we've seen in vitro setting how that translates into an in vivo study setting in a mouse model. And then on the Mycobacterium Avium side, because we just have the hollow fiber model at this point in time, which is essentially an in vitro model that replicates the human PK system. We are now moving that also into some non-clinical efficacy models to show that that in vitro potency translates into animal models of efficacy as well.
Evan Loh: Bert, its Evan again. If I could, if I could build on what Randy said, the design of the M abscessus trial is unique, as Randy said, specifically, because it is a placebo controlled trial in patients who have new onset non-tuberculosis mycobacterium abscessus. And given what we anticipate in terms of the level of efficacy that we'll see in terms of improving pulmonary base symptoms of cough, shortness of breath, sputum production, chest pain, etcetera. And you couple that, with the synergism studies, and the lack of antagonism data that we've generated with these NUZYRA, with every other class of antibiotic that is typically used in a non-approved format for these desperately ill patients, we see that NUZYRA really has, I think, an opportunity here to be foundational, and not to be worried about the addition of other agents into that particular regimen. So we're very excited about, the design of the trial, and I think it opens up the entire, I think spate of opportunities here within NTM abscessus. So hopefully that that helps give you some color as to how we're thinking about the opportunity.
Robert Hazlett: Thanks. And then just, again, any additional color with regard to government efforts and potential purposes?
Evan Loh: Bert, as you as you think about why we have a U.S. government, one of the reasons we have a U.S. government is to not only keep all of our civilians safe, but it's also to protect our active war fighters as well as our veterans and we have made inroads, I think in all of those segments. First, BARDA with regards to civilian protection from bioterrorism pathogen, specifically anthrax. If you look at the veterans, we have on-going market access activity to ensure that because we are on the Federal Supply Schedule that veteran who have diseases of interest, have access to NUZYRA, and we believe that the active war fighter area is one that is actually woefully inadequately supported by novel antibiotics that can address not only resistance, wound infections, as well as potential bioterrorism attacks. When you put it in the context of the geopolitical instability that we're seeing here today, I think it raises the specter and also I think the urgency for the DoD to actually really consider the opportunity with NUZYRA. We have calls with various departments of defense agencies, nearly weekly. It is, it is part of our job to do the education and also to give them fidelity and visibility on the fact that Paratek starting this year will have commercial tablets available from the U.S. supply chain and IV formulation and our IV formulations available also next year. There's a lot of interest in our ability to actually provide that on U.S. soil without having to cross borders, and we've had great receptivity at every one of our meetings. And unfortunately, it is the U.S. government and, it's hard for us to handicap timing and or when something like this could actually happen. That being said, we are quite energized by the type of and in depth conversations and the breadth of the people that we've been able to contact with regards NUZYRA.
Robert Hazlett: Okay, thanks. Good luck there.
Evan Loh: Thank you.
Operator: [Operator Instructions] Our next question comes from Ed Arce with H.C. Wainwright. Please go ahead.
Ed Arce: Hey everyone thanks for taking my questions. Congrats on another quarter of progress. I wanted to start with as your core business here. Year-over-year net growth of 51% you highlighted the gross demand was 82%. And so firstly, I just wanted to understand, what's driving this delta and especially this past quarter with the Omicron wave and the lack of a typical flu season, how much of that delta, do you think it's really transitory? And then I have a couple follow ups.
Adam Woodrow: Hi, its Adam. So look, I think, I think the first thing to say is that we see continued growth in gross demand as a really good early indicator of the net sales to come. Just to make sure you understand how we sort of measured these things. Our net sales take into account the gross to net, which includes rebates, discounts, co pays and inventory holding, whereas our gross demand represents the actual sales that we send and shipped to a customer, which in our case, is predominantly the hospital, or the specialty pharmacy, and that has absolutely no adjustments. They only purchase if they anticipate prescription sales sometime in the very near future. The difference between the two is actually a function of where we are in the year as deductions in terms of rebates and co pays tend to be a little bit higher in the year earlier on. And also the impact of our expansion into the community, which typically sees a larger impact on net sales due to the co pays and coverage gap, especially in the first half of the year. And if you recall, this is the first year where we've had this sort of bigger field force in place. So what we're seeing is, with our expansion, the effect was a little bit more pronounced than we've seen in prior years. But that will actually wash out as we go further into the year.
Ed Arce: Okay, that's helpful that confirm confirms my, my suspected as such that there's some portion of that that looked to be somewhat transitory.
Adam Woodrow: Yes.
Ed Arce: Okay, great. And then I know this was kind of asked before, but I just wanted to get back to the expansion of the MSLs and the community setting. Is there any way for us to have a sense quantitatively or even just qualitatively, the impact to the SG&A lines throughout the year from that?
Evan Loh: Yes, so Ed, it’s Evan. Relatively small, it's all within our current guidance. And nothing has changed from our guidance at the, at our last call it so they are they are strategically focused and placed to align with the broadening of territories that Adam has on the commercial side. And they are clearly, I think, an important adjunct to the messaging that is important to educate physicians on all aspects of not only the basic U.S. PI indications and the use and the dosing, etcetera. We've also seen a tremendous amount of inquiry in terms of alternative use and opportunities that are seen also in the community setting much less so than what we see in the hospital but clearly there?
Ed Arce: Okay, that's helpful. Last question for me was just on the access for NUZYRA, you mentioned there were three, national Medicare formularies that were added, without any restrictions getting you to a level of nearly 60% access nationwide. I'm just wondering, what incremental did those three plans have? In other words, what was the percentage before that?
Evan Loh: So it was it was nearly I think it was the 20 million lives were added as a result of this, this increment. We're really pleased with the work that the team are doing in the, in the access group, this is one of these were hard fought, and they were done well within our current sort of gross to net from a re-baiting perspective. So we're pretty pleased with how that's how that's worked out.
Adam Woodrow: More importantly, I think I would also add, that the success of the market access team has been able to, as we said in the in the chart, to be able to actually create that pathway with limited to no restrictions.
Ed Arce: Yes. Right.
Evan Loh: And sorry, the one thing I will add is that as a result, obviously, of this, this type of access; it's helped us in terms of how we sort of target our representatives moving forward. It'll give us an even better opportunity in certain geographies where these patients reside.
Ed Arce: Right. Understood. Thanks so much.
Evan Loh: Thanks Ed.
Operator: Our next question is a follow up from Suji Jeong with Jefferies. Please go ahead.
Suji Jeong: Thank you. I'm just following up on the point you made about the gross to net discount. I was wondering what's the difference between afford the difference between the gross to net discount between the hospital and community? Can you elaborate on that? Thank you.
Evan Loh: Yes, Suji. The, as you as you probably aware, we've got a very healthy gross to net. If you if you back into the numbers, obviously, we don't disclose specifically what that is. But what I can tell you is that as we move further into the community, our gross to net will creep up over time. And we do tend to give up a little bit more in the community setting than we do in the hospital setting. But it literally is a few percentage points in total.
Suji Jeong: I think previously, you guys mentioned that the number of days on treatment in the community is much smaller than the hospital. So I'm just wondering, the slides that you have on the deck, the growth in the community surpassing the one from the hospital, does that take days on trickling into account?
Evan Loh: Yes, yes, it does. This is prescription days of therapy generated in the community. The average prescription days of therapy for our infectious disease consultants is around about 20. And the average in the community at this present time as we exited the last quarter was actually 11 for the primary care, primary care side of the business. Thank you.
Suji Jeong: Okay, that’s helpful. Thank you.
Evan Loh: Thank you Suji.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to the Chief Executive Officer Evan Loh for any closing remarks.
Evan Loh: Thank you for your time and attention today. We look forward to keeping you apprised of our continued progress. Goodbye for now.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.